Operator: Welcome to the TTM Technologies Financial Results Conference Call, for the Fourth Quarter of Fiscal 2007. (Operator Instructions) I would now like to turn the conference over to Mr. Ken Alder, Chief Executive Officer. Please go ahead sir.
Ken Alder: Thanks for joining us for our 2007 Fourth Quarter and Yearend Conference Call. I am here in Sta. Ana with TTM CFO, Steve Richards. Before we get in to any details, let me mention that during the course of this call, we will make forward – looking statements, subject to known and unknown risks and uncertainties that would cost actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, fluctuations in quarterly and annual operating results, the volatility and cyclicality in various industries that the company servers and other risks described in TTM’s most recent SEC filing. The company assumes no obligation to update the information provided in the conference call. Also you will note in the press release issued today that we provide GAAP and non-GAAP financial information, specifically, with reference to EBITDA. The reconciliation between GAAP and non-GAAP information is provided in the press release. Now before I turn to the quarter. Let me briefly recap the major highlight of the year. During 2007, we successfully integrated the Tyco Printed Circuit Group into TTM, forming the largest printed circuit board manufacturing company in North America. With the integration, successfully behind us, we are now able to focus our complete attention on further improving our business by capitalizing on the strength of our combined company. Throughout the year, we made significant improvements by implementing best practice procedures between divisions. And we will continue to expand our technological leadership and industry leading execution capabilities. We are strategically positioned to fulfill the complex technical requirements of our broad customer base and we look forward to the future with confidence. Now, let us focus on the results for the quarter. We delivered a solid fourth quarter performance fueled by continued strong demand for our hi-tech manufacturing services as well as our aerospace defense customers. Fourth quarter revenue gross margins, operating margins, and earnings per share all grew sequentially over the third quarter. As a reminder we have two operating segments and we report separate financial results for each segment as well as the consolidated company. The printed circuit board manufacturing segment is comprised of nine operations in North America. Our strategy has never changed since the inception of TTM and through three acquisitions. With that consistent strategy, we have focused and will continue to focus on lines of business that are both profitable and sustainable in North America, namely quick turn manufacturing, high technology, aerospace defense and high mixed low volume. Our consistent strategy is the key to our success. The backplane of subway segment is comprised of two operations, one in Hayward California and the other in Shanghai, China. Let us look first at the printed circuit board manufacturing segment, which continued its stock’s strong contribution to the company. Fourth quarter net sales excluding inter-company sales of $147.5mn increased 5% compared with the $140.5 million sales in the third quarter. Fourth quarter operating income increased to $17.1 million compared with $13.9 million in the third quarter and increased almost 23%. This growth was driven by continued strong demand for hi-tech and aerospace defense customers and from improving operating performance. Printed circuit board production increased 4% sequentially and average panel price increased 1%, driven primarily by a shift in product mix. Market pricing for printed circuit boards remained essentially stable quarter over quarter. As always, we continued to adjust our technological and manufacturing capabilities to satisfy customer requirements and expectations. For the backplane assembly segment, fourth quarter net sales before inter-company sales were $27.9 million, compared with $30.7 million in the third quarter. Fourth quarter operating income was $1.5 million was $1.5 million compared with $2.3 million in the third quarter. Net sales were down through the quarter, mainly due to a deferral of certain quarters from the fourth quarter to the first quarter in our US facility. We shipped some of the deferred orders in January and we expect a stronger revenue contribution from that point assembly in the first quarter of 2008. Now, let us look at end-markets, Sales increased from the third quarter to the fourth quarter in all end-markets except medical, industrial instrumentation which comprise 14% of fourth quarter sales. Sales in that end-market declined 1% from last quarter. This slight decrease was due to the normal ebb and flow of business with numerous customers that make up this end-market. However, we did see strength during the fourth quarter in the test and measurement portion of this broad end-market. Aerospace defense increased 1% to 33% of sales in the fourth quarter. This increase was driven by a variety of our major military customers. As you will recall, our book to bill was $1.23 million at the end of September, do largely to increase orders from this aerospace and defense customer base. The computing storage end-market held steady at 13% of sales in both the third and fourth quarters. Networking communication also held steady at 40% of sales in the third and fourth quarters. During 2007, we have increased market share with many of these customers and expect the trend to continue in 2008. Now talking about our top customers, almost all of our top customers are customers with whom we have long-standing relationships, some lasting more than 30 years. They represent a strategic mix and commercial and aerospace defense customers, roughly half from each part of the business. No OEM customer represented more than 10% of sales in the fourth quarter. In alphabetical order, our Top-5 OEMs in the fourth quarter were Cisco, EDO, Juniper, Northrop Grumman and Raytheon. Now, let us discuss our technological and operational performance, the average layer count of our printed circuit boards in the fourth quarter was 14.1, an increase from 13.9 in the third quarter. Boards with 12 layers represented 60% of fourth quarter sales up from 58% in the third quarter. Boards with more than 20 layers represent 28% of fourth quarter sales consistent with the third quarter. In a broader sense, we have seen the hi-tech nature of our product’s increase throughout 2007. While we talk a lot about our technology, in terms of layer count, we are constantly increasing technology in all areas to consistently improve customer offerings. In fact, the significant portion of our 2008 CAPEX budget of approximately $23 million is purely for technological improvements. We are producing more printed circuit boards that utilize sequential lamination and HDI as well as other technological advances. We are also using more advanced and low loss material in our manufacturing processes. Expanding our technological capabilities has always been a vital part of our strategy and corporate culture, our industry leading technology enables us to further strengthen our customer relationships and continue to diversify our customer base. Quick turn has a percentage of revenue, essentially stayed level at 13.5% of sales for the quarter, which is clearly a sign of stability in the market, given our entry sales in the fourth quarter. Lead times in general, have also remained steady. Demand from hi-tech and aerospace customers has enabled us to maintain our lead time at 8 to 10 weeks for those products. While lead time for other products have remained at four to six weeks. At the end of December, our printed circuit board booked to bill ratio was 1.11 that compares with the IPC, book to bill ratio of 1.01 as of December 2007, once again we are above the industry average. Now before I turn the call over to Steve. I would like to take a moment to comment on recent concerns we have heard expressed regarding the health of North American Printed Circuit Board market. Others have indicated that the North American market is softening. Our experience differs, our leadership position in the industry, affords us of broader and more comprehensive advantage point. Our competitive advantages have lead to margin expansion and we have seen our lead times at our highest tech manufacturing facilities extend over the course of 2007. While some are shutting down plants and laying of staff, we have added employees for our manufacturing workforce in the fourth quarter. We continue to see, ongoing strong demand for many of our end-markets and we expect that trend to continue in the first quarter. In closing, we are well aware of the increased anxiety about the economy, it is clear that our stock price reflects the overall uncertainty in the market and not our financial performance which continues to be strong. Our solid results for the fourth quarter were an improvement over the third quarter’s results and we expect the first quarter to be strong as well. As always we will continue to operate efficiently and effectively with the customer focused strategy to grow our business and create value. TTM is the largest North American print circuit board manufacturer with leadership positions in quick turn, aerospace defense, high technology and high mix. Our footprint positions us to support our customers in all aspects of their product life cycle. We have a clear direction of where we need to go, what we need to do and how to execute and we face the future with confidence. Now, for the balance of the presentation, I will let Steve review our financial performance and discuss our outlook for the first quarter.
Steve Richards: As you saw in the press release, TTM reported solid results for the fourth quarter of 2007. with sequential improvement in every financial metrics. Increasing demand for our hi-tech manufacturing services was a main driver of improved fourth quarter net sales of $167.5 million, up 2.7% over the last quarter. Fourth quarter gross margin of 20.7% increased from 19.2% in the third quarter, marking the first time since PCG acquisition, the gross margin has exceeded 20%, the fourth quarter gross profit benefiting through approximately $1 million in nonrecurring accounting entries. Our net income of $11.8 million was $0.28 per diluted share, reflecting an increase of approximately 44% over the third quarter. Net income for the fourth quarter benefited from the reduction and income tax expense due to a decrease in the valuation allowance on our deferred tax assets are strong consistent, earning its performance, which makes it more likely that we will utilize our deferred tax assets, lead us to reduce the valuation allowance. This reduction added $0.06 to diluted earnings per share in the fourth quarter. On the year-over-year basis, net sales increased 81% to $669.5 million, due to the PCG acquisition. Results for 2006 included just two months of operations for the acquired plans. Total operating expenses for the fourth quarter increased from $16.1 million or 9.9% of sales in the third quarter to $17.1 million or 10.2% of sales in the fourth quarter. Selling and marketing expenses for the fourth quarter increased from $7.1 million or 4.4% of sales in the third quarter to $7.6 million or 4.5% of sales in the fourth quarter. Primarily due to higher commission expense on increased sales. G&A expense including amortization intangibles through the fourth quarter was $9.5 million or 5.7% of sales. This was an increase from $9 million or 5.5% of sales in the third quarter. The increased is primarily due to higher compensation expense in the fourth quarter including a larger bonus accrual due to better fourth quarter performance. In the fourth quarter of 2007, we encourage stock based compensation expense of $894,000.00 – 70% of this expense was recorded in G&A, 28% in cost of it sold and 2% in selling marketing. Operating income of $17.6 million for the fourth quarter represented a 15.7% increase over the third quarter of 2007. As we expected, fourth quarter interest expense including debt amortization costs increased to $2.7 million compared to $2.6 million in the third quarter as we continued to pay down debt. This slight increase is solely due to increased debt amortization expense because we are paying more debt in the fourth quarter than we repaid in the third quarter. During the fourth quarter, we paid down $24 million of debt. Our debt level is now $85 million, in 2007, we reduced the company’s debt by 58%, which is extraordinary and a testament to our focus on reducing leverage in order to keep all of TTMs growth opportunities available. We expect to continue to reduce our debt level in 2008. Fourth quarter net income of $11.8 million and earnings per diluted share of $0.28 both substantially increased over the third quarter. With net income increasing 44% third quarter net income was $8.2 million or $0.19 per diluted share. TTMs EBITDA growth continues to be significant and speaks to leverage in our financial model. EBITDA for the fourth quarter was $24.4 compared to third quarter EBITDA of $22.2 million. For your reference, there is a reconciliation of this non-GAAP measure in the press release. Fiscal year 2007 net sales of $669.5 million increased 81% from fiscal year 2006 net sales of $369.3 million. Fiscal 2006 include 2 months of operations for PCG acquisition. Net income decreased from $35 million or $0.82 per diluted share in 2006 to $34.7 or $0.81 per diluted share in 2007, primarily due to significantly higher interest expense and intangible amortization expense in 2007 due to the PCG acquisition as well as softer market conditions in 2007. We will continue to make it a very strong balance sheet, excellent cash flow and a very manageable deposition. As I mentioned during the fourth quarter, we reduced debt by $24 million bringing the debt balance down to $85 million at the end of the quarter. Cash and short term investments at the end of the fourth quarter of 2007 totaled $18.7 million compared to $27.3 million at the end of the third quarter. Cash flow from operations was $18.6 million for the fourth quarter. Net capital expenditures were $4.2 million and depreciation was $5.5 million. Looking ahead to the first quarter of 2008, we project revenues in a range of $168 to $176 million and earnings in the range of $0.20 to $0.25 per diluted share; the gross margin percentage with the first quarter is expected to be in the range of 19% to 21%. They are willing to be higher revenue contribution putting it back to an assembly segment is like the attempt for gross margin during the first quarter. We expect that selling and marketing expense will be approximately at 4.5% of revenue and that G&A expense including amortization intangibles will range from approximately 5.1% to 5.3% of revenue. The reduction or debt balance that I mentioned earlier will result an interest expense including debt amortization costs of about $2 million as we continue to repay debt in the first quarter. We have spent our tax rate in the first quarter in 2008 to get profit of 37.8% as you may have noticed on January 15, we filed a shelf registration statement to – sell up to $200 million in debt, common and preferred stock in other securities. The shelf registration at this time enables the company to have flexibility in evaluating future growth opportunities we do not have a specific opportunity related to this filing nor it is our intention to issue shares into the market at this point in time nor in the near future. Rather, we chose to file a shelf registration so that we are ultimately positioned to respond and move quickly on any opportunity that presents itself. With that, let us open the call to your questions.
Operator: (Operator Instructions) The first question comes from the line of Mat Sheerin, with Thomas Weisel Partners
Mat Sheerin - Thomas Weisel Partners: So, this question is on the book to bill, which has been hired in the industry. If you were to back out the military aerospace business, which tends to have a higher book to bill and you have more backlog there, could you tell us what it has been looking like?
Ken Alder: I do not have that number right at my fingertips here, Mat, but when we look at the non-military aerospace business, it is not growing as fast as the regular commercial business but it is still growing. So, it is a more steady, more consistent growth and still positive so, I am just kind of interpreting between the fast growing aerospace defense in hi-tech that our book to bill would be positive in that area. Also, I am very confident it would be positive.
Mat Sheerin - Thomas Weisel Partners: But in the past, it is intended to be higher than the rest of your business, it sounds like it is not anymore, so you feel like you are seeing positive booking trends across your businesses.
Ken Alder: Yes, there are definitely positive booking trends across our business. We are seeing higher booking trends in our hi-tech and aerospace and defense offerings.
Mat Sheerin - Thomas Weisel Partners: Okay, you are talking about relatively stable pricing environment but your competitor has been talking about pricing pressure both in the volume business as well as quick turns. Why do you think you are not seeing that?
Ken Alder: That is probably a good question. I think when we look at the end-markets and the customers that we serve, we probably are not crossing paths with the competitors like we have in the past, as you recall, like I keep mentioning, the strength of TTM are fundamental consistent business strategy of hi-tech, high mix, quick turn, and aerospace and defense. And we have had that strategy for a number of years so, we have not been involved in volumes without the history of TTM and we have moved into these end-markets and areas that we produced because there are higher profitability so in doing that over a lot of years. I think we have been able to excel and not cross paths with a lot of competitors so we have a different message to maybe some of our competitors that is more positive in nature.
Mat Sheerin - Thomas Weisel Partners: Okay, and then a question on the backplane business, you talked about a push out there, is that normally a choppy type of business where you will see that or was that…
Ken Alder: We see a little more choppiness in that business and it is different that printed circuit boards because you are ordering a lot of materials with lot of components and at times maybe a component does not come in when you think and that delays a fairly sizable order. So you will see a little more choppiness in that segment of the business. I mentioned that we had a push off in the fourth quarter and at the first quarter; we have shipped most of those push-outs in January. So we will probably see a bigger contribution from that segment of our business in the first quarter than we did in the fourth quarter.
Mat Sheerin - Thomas Weisel Partners: And this is my last question for you Steve, you talked about – one time $1 million benefit, I think it was the gross profit or gross margin, could you explain what that was?
Steve Richards: It like a couple of different accounting entries and I will try to give you the high levels to post all the detailed accounted new ones but the two biggest ones where we have been accruing for a medical reserve for the print circuit group on a kind of nine-week expectation. That means it is like, we expect about nine weeks of claims to come in, in the near term investment, you need a kind of reserve for. But we have been probably a little bit conservative in that accrual because with the PCG medical plan, they were only doing with our plan for since January 1, 2007. so, we moved that down to eight weeks in the current quarter that gave us a one-time, you know, not intimate benefit to our income statement and gross profit. The second things is that at the end of the year, we did a thorough revisit of all the working process inventory percentage completion gates, we are gong to get an accounting here, sorry, and other plans and t it seems like with the military work we are doing now versus what we are doing a year ago, we fairly have more material content in the work that we are doing. Therefore, when you start your work on the floor, when you listen to the floor, you have actually more material already and so, cutting all the substance gates, it is more material already, and so, cutting all the substance gates, the width is more completed if you will as you move to the process, set more capitalization of some costs at the end of the fourth quarter and inventory supposed to in the P&L. So it has got a one-time impact but we saw the fourth quarter gave us some benefit.
Mat Sheerin - Thomas Weisel Partners: So that was combined, that was about a 60 basis point improvement in gross margin then?
Steve Richards: Yes, I have got the adjusted number by 20.1% gross margin to back out those two things.
Operator: The next question comes from the line of Amit Daryanani with RBC Capital Markets, please go ahead.
Amit Daryanani - RBC Capital Markets: Do you guys are possibly seeing your sequential strength in Q1 in the quick turn business? It seems a bit odd to assume – with the quick term business than to slow down the (inaudible) what percent of sales will it be next quarter?
Ken Alder: I think our quick term percentage is relatively flat in the first quarter over the fourth quarter, although our number are up because you see our top line went up and the percentage for the quick term saved the same, so in raw dollars we are up. Quick turn around the end of the year, Christmas, first of the year, we kind of slowed down, at the end of the year and picked up sometime later on in January. We did not see that as much as we have in the past but the quick turn as we looked at it. We do not have to become price competitive. I think our pricing is holding in there. When I look at our quick turn I am seeing the same thing we see in the rest of our company and that we are a hi-tech quick turn facility and the technology we are producing for our customers is a technology for which there is not as many competitors. It ties in with the rest of our facilities and so forth, so I think we have been able to differentiate ourselves from our competitors and not follow in the same ebb and flows if you will, because of our technological capabilities, not only quick turn but in the company overall. And recall it in with the Tyco acquisition, our aerospace and defense business, is now 33% - a third of our business. That is $220 million of aerospace in defense. That is a more stabilizing influence if you will. Backlog seemed a bit bigger there and we can better operate and run the business. Now we are starting to cross sell technologies, so a lot of benefits that we are now experiencing as a company that we did not have a year ago and all of that is helping the quick turn.
Amit Daryanani - RBC Capital Markets: Sorry, I probably missed this. But what would a lead time in the volume production sided of things this quarter and then we expect them to be in the next quarter.
Ken Alder: Our lead times are pretty consistent this quarter with last quarter, we are 8 to 10 weeks in our high technology in aerospace and defense facilities and 4 to 6 weeks in our other facilities but along with that, we always operate our facilities so we have flexibility to service customers when needs arise. And they are part of the strength that we have culturally with our operations, it has the ability to be flexible and that enables us to catch the market share as we service customers better and the strength that we have is to be flexible and still drive margins. So we operate efficiently at the same time that we are flexible. So, lead times really have not changed and where we are at right now, I do not see them changing in the near future.
Amit Daryanani - RBC Capital Markets: What are the other things when lead times do get to be (inaudible) do you get some of the customers (inaudible) seems on good strengths in our booking right now?
Ken Alder: I do not believe that is the case at all. I think the professional way that our industry now manages to supply chain, we have been able to eliminate any bubbles or inventories. Our lead times are not that high and as I mentioned, we still have nice backlogs in all our divisions but we maintain flexibility, so we are to give our customers what they need without having to build inventory or have double ordering occur.
Amit Daryanani - RBC Capital Markets: Just a final question (inaudible) if I look at the self registration, you guys have done for $200 million. When you guys did the Tyco deal, did you ever fund any equity – self registration at that point, I only read some data on your books but, are you potentially looking at some point down the road to do a Tyco – deal again in terms of the magnitude of revenues?
Steve Richards: I will come back with a couple of points of view on this first. There is a reason to do a shelf prior to the Tyco deal is due to the nature of the acquisition and the timing of it and so forth it was much better financed with debt and we have certainly able to manage that well. We also at that time had more than $100 million of cash on our balance sheet to finance the acquisitions so, kind of a separate analysis there. But I think certainly, in terms of Asia, we evaluate and continue to evaluate the number of possibilities for acquisition of varying sizes. Some large, some small and so there is no, idea we have on tap right now that is going to be used for that, I think we are really just trying to keep all options open, you know what I mean? Possibly, public debt offering, public airway financing, the fact that we filed the shelf, it does not necessarily they were predisposed to one instant or another. We certainly have done with debt with the type of deal and I think we have obviously have shown to be lending community that we do intend to adhere to our pay down structure and timeframe and so forth. So I think we are very in good graces with the lenders, and could – on debt and turn the deals later on but I would agree too much in the shelf registration as to indicate what we do, that we want to do equity or debt for large or small acquisitions. I think we will, once we get our target at some point we will choose the right method of enhancing that target at that time.
Operator: The next question comes from the line of Brian White with Jefferies & Co., please go ahead.
Brian White - Jefferies & Co.: I am wondering if you could talk a little bit about some of the trends that you saw in January in your business.
Ken Alder: Let me think back here, we have got the three months, I guess, separate out from that last month. Historically, January we usually get off to a little bit of the slow start coming out of the New Year and that was not unusual in January. January was fairly active with the back-point assembly that we anticipated would be so we have some nice orders come in, in back-point assembly and after we got passed the first of the year, the rest of the business came back with a fairly brisk activity level. Our book to bill in January for printed circuit boards is above one when we got to the total number, it is not close to one, it is well above one. So, I think it is indicative of the activity that we were able to experience in January and so far we with the first week ion February, that activity continues to be fairly robust.
Brian White - Jefferies & Co.: Okay, isn’t that a little concerning with some of the cautionary, tone we got last night from one of your Top-5 customer – Cisco?
Ken Alder: You know, I mean Cisco is not the only one that has thrown out some cones there and even though Cisco people I guess understood that they are trying to get to the 15% growth and they only projected 10. That is still not a bad number, 10% growth. But when we look at our business compared with the cautionary comments in the macro environment. We are just not feeling the impact of that. We still believe that we are in the right programs; we have a broad base of customers. We are in the right end-markets, we have the right product offerings for our customers, I mean we got the technology, we got the quick turn, and we have the high mix. Everything we have done with our company, since the very beginning, I think are paying dividends here and benefits because I think there is less competition in the spaces that we operate in. And I believe that with our strength that we have been able to develop and the expertise in operational capabilities, the technology that we continue to invest in, I am very confident that the future will be real positive for us. So maybe the macro environment swings down upon us but right now we are not feeling it and we are pretty optimistic about the future.
Brian White - Jefferies & Co.: Where is the disability on the business right now?
Ken Alder: Well, the visibility probably has not changed. I mean, you have heard what our lead times were eight to ten weeks from the hi-tech and aerospace and defense and four to six weeks in the rest of our business. Beyond lead times however, we listen to customers, we see what they are saying, what activity level they have, they are talking about programs that they would like us to be involved in and ready for. They are talking about technologies and do we have the advanced technologies which we always satisfy our customers own so, other than kind of the lead times, the activity levels, the quote levels and the experience that we have with 913 customers going forward. It is not anything different but it does give us a pretty firm broad base to look at when we get a view of the industry we are looking at it through the eyes of 913 customers for end-end markets that are the right space to be in. So, I think we have a pretty good feel for where we are headed and where a lot of customers are going.
Brian White - Jefferies & Co.: And just finally Ken, when did you see slowing trends in 2001.
Ken Alder: 2001? Back when I was in my mid-20s, 2001, that happened like immediately Brian, I mean it was, actually probably in the fourth quarter of 2000 and I think the industry was going through a total transformation. We probably had, what I would even call, negative booking weeks, where cancellations were coming in faster than orders. So, it was a pure transitional time back in 2001 and 2002. you will recall that we lost half of the north American industry, it went from 9,6 billion dollar industry down to $4.5 billion industry that is today, so 2001 was a totally different environment, it was not one of the cycles that we talked about, it was a transition of our products. I do want to highlight a little bit, whether it was before 2001 or after 2001, TTMs consistent in our strategy, and when I talk about consistent, I am talking about, let us say volume work. We did not want volume work before 2001. We do not want volume work now. We stayed away from volume because it is too price competitive, whether we are competing against other North American suppliers or against Asian suppliers. It has always been price competitive so we have avoided that. We have invested in technology, because there are fewer competitors and technologies so that we can earn higher profit margins. We have invested in high mix capabilities. So, we have consistently, with our without Asia competition, then in the sweet spot of the industry and all of our facilities are designed to produce a high mix, high technology, high quality board with the flexibility that our customers need.
Operator: The next question comes from the line of Shawn Harrison with Longbow Research, please go ahead.
Shawn Harrison - Longbow Research: Hi, first a quick question for Steve, do you have an estimated an interest expense number for the full year and then secondly just how much that you are looking to reduce maybe for 2008.
Steve Richards: We do not have a full year – number for the year, because it will give guidance out for the full year but we will tell you that we are paying down debt aggressively and we will continue to do that throughout the year. Although our CAPEX program is built higher this year, $23 to $25 million, offset some of the usage of cash to be put towards debt normally. So that dividends will step down, kind of every quarter throughout the year. Keep in mind though that 40% to actually more than that. This point of our debt is hedged and so, we are going to see the benefit in this expense throughout the year that you might expect, given the precipitous decline in interest rates from the feds and so forth. So I will tell you that the incidence guidance for the first quarter is in terms of the actual cash interest fees is about $1.5 million and about $350 of debt amortization costs because as you know, every time you pay a chunk of that down, you have got to take some more of that amortization but deferred financing costs off the books. So all in about $1.9 million this quarter and I expect that to ramp down throughout the year each quarter.
Shawn Harrison - Longbow Research: Just a follow-up question on the high technology business, what are lead times right now and what were they last quarter?
Ken Alder: Yes, Shawn, in the last quarter, we were 8 to 10 weeks, probably about nine with some flexibility and that was no different from the third quarter. In the first half of the year, our lead times were lower than that, when we go on to the Cisco lane and so forth. So our lead times are longer now than they were at the beginning of the year but stayed the same in the third quarter through the fourth quarter.
Shawn Harrison - Longbow Research: Okay, and then on prototyping activity, are you seeing kind of stable trends in that market similar to what you are saying in terms of quick-turn demand?
Ken Alder: I think the trends in quick turn are stable. We are not feeling price pressure. I think the technology that we produce in the quick turn, enables us to avoid some of the price pressures that others have talked about. The quick turn environment enables us to penetrate new customers, bring customers on-line move those to our other facilities so, I feel like quick turn has been a big part of our business since the beginning and that continues to march alone as normal.
Shawn Harrison - Longbow Research: Okay, and then one final question on the backplane assembly business, would you expect that to get back to maybe third or June quarter revenue levels or September quarter revenue levels. Maybe $30 million dollar run rate in the March quarter.
Steve Richards: We were at $30.7 million in revenue for the backplane assembly segment in the third quarter and that dipped us to $27.8 in the fourth quarter. I never think we will be back north of 30 and maybe even north of 31 in the first quarter. 
Ken Alder: When you look at our backplane assembly, just a comment to Shanghai is growing nicely and Hayward is holding its own but most of the growth is coming in our Shanghai facility.
Shawn Harrison - Longbow Research: Okay and then we should fix back the subsequent pop and even margins with the revenue rebound.
Steve Richards: Obviously, the more revenue that that division has, the better they do but they do not have the same kind of fixed cost base that the PC manufacturing does and therefore the same kind of leverage effect. So, on a gross margin basis, an increased revenue contribution from the backplane assembly business related or proportionate to the PC manufacturers would probably dampen your gross margin a bit. Do you know what I mean?
Shawn Harrison - Longbow Research: So we are talking maybe more kind of 25% contribution margin versus a 40 to 50 for the PCB.
Steve Richards: Right, as the way you said before, it is like in the PCB business, we have much better incremental completion margins because of the high fixed cost basis of labor and manufacturing equipment in the PC business. But in assembly, about 70% roughly is materially just anyway so, you don’t get bottom line impacts from your incremental order in that assembly business.
Operator: The next question comes from the line of Mark Moskowitz with J.P. Morgan.
Mark Moskowitz - J.P. Morgan: Can we get the sums in terms of the fixed cost nature of your aero space in the military type business, versus the other parts of the portfolio?
Steve Richards: You know the same fixed cost basis exists for our aerospace business – adding this for the rest of our PCB manufacturing business. Obviously, it is like, the labor intensive business because you have 20 plus days that each job has to go through eight departments in the business. And that we also have a lot of money invested in equipments so we have a fair amount of depreciation on our depreciable asset base. So, it is some of the piece of manufacturing, you know, like I said before, on an internal basis, because your next unit moved to the shop does not require or say an additional person or additional equipment, you actually can get incremental conditions margins of 40% to 50% in the PCB business, aerospace or hi-tech commercial does not matter. And that is indicative for us only if you have seen large increases in production when you need to say, add a lot of equipment or a lot more staff.
Mark Moskowitz - J.P. Morgan: And then, given that higher margin benefit or potential with middle – how should we think about incremental investments in terms of next year or for this year, what level of your CAPEX and just overall new sales book, this will be more on that vertical versus others.
Steve Richards: CAPEX for 2007, has ended about $14 million for the year and that is for two reasons. Partly we focused a lot in terms of debt pay down as supposed to CAPEX. And we also were able to take some of the assets from our distance in a new facility in Oregon and transfer those to – the facilities to the (inaudible) in 2007 CAPEX. As mentioned before, I just cannot mention the remarks as well. Our CAPEX will be higher this year, probably more like, about 3% of sales in 2008 versus 2% number in 2007. most of our CAPEX will be aimed towards the PC manufacturing segment or business, buying large. And then most of that will be going towards, in bottlenecks in our facilities. Certainly, as we have increased production, and almost more importantly as the work that we get from our customers is more complex, requiring sequential lamination, multiple passes through plating, more drilling, those things become bottlenecks in our business, so we will invest in both the aerospace defense and kind of our commercial plans to expand the capacity, and to alleviate from the bottlenecks in those areas.
Ken Alder: Just let me add to that CAPEX explanation. When we alleviate those bottlenecks we are also focusing on and addressing technological issues too. Because the changing technology that we go through, you have to stay one step ahead of that, and we are definitely investing in technology, which is simultaneously eliminating our bottlenecks or vice versa. So, as Steve mentioned we are focused on LDI’s plating capacity, laser drills, those things that advanced our technological capabilities.
Mark Moskowitz - J.P. Morgan: Well, I guess it is a follow up and just given that investment and the technology and also the influence in military aerospace, how should we think about your move in higher layer accounts type of PCB. Should we expect pretty significant upward pressure there?
Ken Alder: As far as layer count, we have one of the highest layer counts on a global basis, if not the highest layer count. So as far as technology goes and our ability to produce layers as one major technology, we are probably the leader on a global basis. The other technologies that we talked about are more to deal with improved performance of materials and also to look at size and more power and capabilities of the end products so you are going to become smaller and so forth. So, that is why we are investing in those technologies, to wind up with where the market place is going.
Mark Moskowitz - J.P. Morgan: And just lastly, a question for Steve here, on the margin guidance, in terms of the range I appreciate and sensitive to the backplane fees in terms of how that could be or is there any sort of component also in terms of this considering what could happen to one of your top five customers who reported yesterday – Is there any potential that – slowing or chopping in their revenue profile – or a little more caution that they could kind of revert back to their old ways where they can collaborate their suppliers when things get a little more difficult for them?
Steve Richards: Hey, I fully understand your concerns because we have given last night’s cautious comments from that customer. I think, for our first quarter guidance, we cannot deny the rest of our management team are quite comfortable with our guidance of, you know, 168 to 176 and – towards a gross margin. I think the good news for us with the customers that are hi-tech space, is that we have, 8 to 10 week lead times in the facility to support those customers and have good visibility for this particular quarter into that customer’s demand. So, if what you are outlining were to come to pass in the future quarters and not the first quarter, but I also think that we tend to support parts of that business that are a little less buffeted by some of these pressure that the broader product offering of that customer are buying. So it helps us as well. I also think that some changes with some of our competitors will probably allow us to capture more market share with that customer and others and I think that is going to be beneficial to us in the future, so hopefully, that gives you some comfort that we have factored in all these information into our guidance that really happened last night. And are comfortable with where we stand.
Operator: The next question comes with Kevin Kessel with Bear Stearns, please go ahead.
Kevin Kessel - Bear Stearns: Just on the deferral orders that you mentioned in your release and on the call, can you give us maybe a sense for how large we are talking about here in terms of what was the first?
Ken Alder: Yes, Kevin I think the deferrals would be between $2.5 million to $4 million or something like that.
Kevin Kessel - Bear Stearns: Okay, and from the sounds of it, Ken, it was Hayward not China.
Ken Alder: It was Hayward, yes.
Kevin Kessel - Bear Stearns: I do not know if that was an example you are giving or if you are actually speaking to the deferrals but with the results of the components that you could not get in time, to get up.
Ken Alder: There were a couple of reasons and part of that was customers just delaying the delivery and other parts of that were components and those situations are kind of on-going in that business and sometimes when you have a component that that cannot come in and it is tied in with the end of the month that caused you a little bit of stress. But in this particular case we are able to rectify both of those situations and ship product out in January and it was %2.5 to %4 million and most of that has been shifted in January. I am not sure if all of it has.
Kevin Kessel - Bear Stearns: But it was originally sighted for December, it got moved, so if you have it come in, probably would have been towards the higher end of your guidance range. But then these customers that are delaying because of, the ones which deliver dates, I guess, is that a reflection potentially from the customers of concerns over their business or their particular end demand or something that is just totally based on logistics.
Ken Alder: I think Kevin, the particular issues that Ken is talking about here, was primarily a desire from the customer to take delivery of that work in 2008 and not 2007. So, it was more on end of year issue than any kind of any broad or statement on the in-demand or the goods were built for them.
Kevin Kessel - Bear Stearns: Okay, in terms of your medical industrial business, so that being the only segment that was down and I calculated down about 4% on a sequential basis - that if I am not mistaken is mainly Redmond driven, more so than some of your other plans. What is exactly is going on there impacting it, because I know, you said it is somewhat normal but I am wondering if the tension maybe it is the industrial or the instrumentation segments that might be somehow tied to things that might be tight into the housing markets for example or other areas where we have had, other companies come out in sight weakness.
Ken Alder: First of all Kevin, we went from 15% in the third quarter down to 14, so it is about a 1% decrease.
Kevin Kessel - Bear Stearns: But Kent, I am looking at the sequential dollar change.
Ken Alder: I got you, I think medical industrial is basically our most stable end-market if you will and I think there are just normal variances and absent flows that have taken place there. We do not see any direct correlation between the subprime loans and the housing market is tied into medical, industrial instantiations. I just do not think there is correlation at all there.
Kevin Kessel - Bear Stearns: And then in terms of, that was mentioned in the press release of macro conditions, challenging macro conditions that you sighted, in particular are you deciding what others are saying?
Ken Alder: Yes.
Kevin Kessel - Bear Stearns: And your queues that you guys used, that would indicate to you, you know, things might be changing at the margin, would be what, your quick term business and pricing equity turn and late times principally or is it inventories, or what is it that you are looking at or that we should be focused on to get a sense for whether or not there is a sort of a change at the margin.
Ken Alder: When we look and forecast going forward we looked at a lot of different levers that can come into play. Certainly the mix between our facilities, the mix between segments, the relative mix again and between high technology, aerospace and so forth. So we looked at all those levers. We also looked at operationally how we are performing and we look four ways that we can improve our cost and drive more margin to the bottom line. From our perspective, when I look at the total picture, I see improvement in kind of all of those areas but no one area that is going to stand out and say, “Okay Kevin, hang your hat on this” I believe we are going to have margin improvement because we are now through the integration and we are really focused on margin improvement and I believe we are going to be able to drive our cost down. We have spent a lot of money this quarter on Sarbanes-Oxley Compliance; we had 8 facilities that were not Sarbanes-Oxley compliant a year ago. We have a heavy cost there, so we have some of those costs going away, we got our interest expense going down, we have got to improve the operations and we have a pretty nice mix coming into our facility as far as technology and aerospace and defense goes.
Kevin Kessel - Bear Stearns: One of your customers closed the facility, I think in phoenix just around the third quarter or so, and then, one of your competitors is retrenching from the North American market in closing down capacity and trying to refocus itself. So, is it too early to see the benefits of that or is that something that you guys are already starting to see in terms of bookings.
Ken Alder: No, the first one that you mentioned in Arizona, I think we have seen some benefits there and that is always positive, it is hard to kind of quantify those things but certainly we know of specific wins that came our way after that closure. The other closure that you are talking about with, I think it is an Asian Manufacturer withdrawing from North America that has been affecting us on a quick-turn basis. We are seeing an improvement in order demand because of that.
Kevin Kessel - Bear Stearns: And then lastly, Steve, anything that you can tell us about expectations for cash flow for 2008?
Steve Richards: I can give you some feel for the first quarter. We will look at the cash flow statement. We actually did a great job, my staff, real kudos for amenity payables really well at the end of the fourth quarter. We have been working very hard throughout the year to kind of improve our working capital management processes and it is nailed at this time. Our working capital days benefited by two days from accounts payable days, inventory and receivables are more steady but we actually pick up two days from AP management. The balance actually went up by $3 million quarter-to-quarter which is great. The cash or benefit was $3.1 million this quarter. I think our operating cash flow is 18.6 this quarter and I think that is a little high for the running rate, $14 million dollars on average from the last couple quarters $18 million as its high. I think in that $14 million to $18 million range, is reasonable for the first quarter. Also, the guidance range is higher for, earnings per share and so forth but how the working capital turns out would be always a better question. If sales grow in the first quarter, it makes you pick up a growth in AR, which is kind of being a damp on our operating cash flow so, I would say for the first quarter, it is hanging on the $14 million to $18 million range and then, that is all we give out during this quarter guidance one at the time.
Kevin Kessel - Bear Stearns: Okay, is your CAPEX expected to be linear or is how should we expect that…
Steve Richards: I think it is reasonable, it might be more towards the last half of the year because you know – we will place the orders in the fourth quarter and first quarter, but I think, you are reasonable saying $4 million to $6 million dollars of CAPEX each quarter for a total of 24 for the year.
Ken Alder: Okay, Kevin keep in mind on that CAPEX, we lay out a budget for the year and we look at that but we are always evaluating every piece of equipment that we expand money on, so it is kind of a flowing, make sure we get an ROI on every piece of equipment.
Operator: (Operator Instructions) The next question comes from Lionel Rich Kugele with Needham & Company, please go ahead.
Richard: Just two questions, first, does 2007 represent how we should think about your normal sequential progression given the new mix of the business post-Tyco or should we think about 2008 pouring out a little different?
Kugele - Needham & Company: Just two questions, first, does 2007 represent how we should think about your normal sequential progression given the new mix of the business post-Tyco or should we think about 2008 pouring out a little different?
Steve Richards: Well, the one that I will tell you that is anomalous is of course the first quarter of 2007 included $11 million dollars in revenue from our Dallas plant which we closed down on April 7 of last year. So, that is one thing, if you back that out, then that is your starting point for year-versus-year comparison first of all. And now, of course we are talking a bit of a dip in the second quarter without Dallas before we transferred that work. That works now at a pretty steady $5 million dollars per quarter revenue run rate in our other facilities who is helping us improve capacity of those facilities. Beyond that, maybe the quarterly progression for last year is endemic for this year.
Ken Alder : I think we probably increased every quarter, last year once you adjust for the Dallas situation, and I do not think that will be any different, and when you look at 2008, the order pattern is such that I think we are looking at enough activity that right now, we feel like we have a nice consistent growth throughout the year. I do not think seasonality will be that big factor. I think we will just be pretty consistent again and keep in mind, with like Steve said, we will go one quarter at a time here.
Steve Richards: And also Rich, we have the lean manufacturing initiative impact as we discussed in our prior year and prior quarter calls, during the second quarters. The more I think I think about, the more Q1 and Q2 are anomalous sort of from last year.
Richard: Okay, and then, now with your backplane, load down thing improvement and the acquisition fully integrated. What do we think is the right gross margin range in the near term as a potential theoretical business model?
Kugele - Needham & Company: Okay, and then, now with your backplane, load down thing improvement and the acquisition fully integrated. What do we think is the right gross margin range in the near term as a potential theoretical business model?
Steve Richards: Certainly, we think for the fourth quarter, 19% to 21%, that is our range you know, as we have indicated here. I think we have discussed before, you know, our expectations for improving the margin and certainly, we are finished through the integration, we all as a company view – last step of our title integration process and that is underway but going well. So I think, at this point now we are an 11-plant integrating company and so the challenge is to gradually improve operating efficiency at all the sight and you know, have that help improve margin, increase capacity utilization of all sites because of our fixed cost nature of business. We want to improve operating leverage. So by large, those have actually driven the margin forward of the spike and pricing to be fantastic but we cannot predict that necessarily and that is not what’s been true of the last couple of quarters and has been more stable. But I think, we have talked before about getting margin consisting – of 20% and so this quarter was a great quarter and that we got there and I think we would like to see it stay there and certainly move up in the low 20’s probably in the future.
Ken Alder: And just to add to that, I mean the 20.7 for this first quarter, I think that is a solid improvement over the fourth quarter and I think there is more room to go up another percentage and a half, not done with the time table is but it is certainly in the near future and one of the challenges we have is in the fourth quarter. Our back point assembly will be a bigger portion of our overall sales. Well that has a lower gross margin attached to it. So we will probably up in both, printed circuit board as well as backplane assembly but because the mix is a little more favorable to back point assembly, the overall gross margin could be lower, does that make sense?
Richard: And just lastly, as you are looking across Asia for acquisition opportunities, has any of the changes that have occurred from a Chinese labor law basis or even the environmental loss made China less attractive to you. They certainly do not seem to be keen on PCB expansion.
Kugele - Needham & Company: And just lastly, as you are looking across Asia for acquisition opportunities, has any of the changes that have occurred from a Chinese labor law basis or even the environmental loss made China less attractive to you. They certainly do not seem to be keen on PCB expansion.
Ken Alder: You hit the right corn there, because in China the currency is stronger by 13% over the last couple of years. The labor costs are going up, waste treatment cost are going up. It is harder to get water permits. Tax rates are moving up from 15% to 25%. So, that is still if you look at our strategy, does not deter us from wanting to have a presence in Asia. What that has enabled us to do as we scoured the universe in Asia and narrowed the list of companies that we think will fit with TTM, down to a very small number. It has probably helped us in being able to have conversations that are productive in Asia. Because I think what it is saying is that being part of a global company and being part of an ideal company on the global basis can have a much better future than two companies going alone. So it has not deter us, we still think that there are significant opportunities with an Asian component but I think it has actually helped us in helping companies realize that everything changes and that there is a better opportunity to become part of the global company.
Operator: The next question comes from the line of Jiwon Lee with Sidoti & Company, please go ahead.
Jiwon Lee Sidoti & Company, LLC: Two quick questions, what was the proportion of bails to your Top-5 customers in the fourth quarter and in the third quarter?
Ken Alder: The Top-5 in the fourth quarter, 26%, Top-5 in the third quarter 25%.
Jiwon Lee Sidoti & Company, LLC: And CAPEX fall for this year $23 million to $25 million dollars, how is that roughly split between your defense and the hi-tech business?
Ken Alder: Yes, that is a question that I do not have immediately here at my fingertips but as we reviewed that in the past there is no major emphasis on those, one aerospace defense over commercial. Where we are spending our money is in the out of space defense and in technology which overlaps into the commercial. So those are the two kind of areas that we see a lot of brisk activity and as our high technology aerospace defense.
Jiwon Lee Sidoti & Company, LLC: Would you be spending more capital in your accounting plan or geographically, where else would you be plowing this money.
Steve Richards: Well, let me say, the Chippewa Falls Plant is our largest single plant is our largest single plant. So it would proportionally get a larger share of CAPEX and also, it has challenged us and the bottle necks are referred to earlier in terms of the nature of the work is changing more towards HDI and sequential laminations. They have some more areas like plating and drill that are bottlenecks so that is going to be an area that we will probably invest if you are not in that facility, but also, in other facilities as well.
Ken Alder: We are expanding our technology in all of our facilities so when you look at each facility they have different strengths and different specializations and so they require different CAPEX needs but certainly we are not leaving any one facility behind. They are all moving forward, they all have a CAPEX budget that moves their technology forward. They capabilities forward eliminate bottlenecks and that just is how we look at that across the board.
Jiwon Lee Sidoti & Company, LLC: So when you were talking about improving your operations in a way, this capital expenditure has a lot to do with where you want to get to, the higher level of operating leverage?
Ken Alder: Yes.
Jiwon Lee Sidoti & Company, LLC: That is the first and foremost in your key objective for this year, that is sort of how we should look at your business this year and the potential for a margin improvement.
Steve Richards: I would say it is two-fold, certainly improving operating leverage is always (inaudible) to us because that benefits the bottom line and higher earnings per share helps you to really share what we have so we are always focused on that. But I also think that equally important is keeping abreast of our customer’s needs. As the work they do becomes more technologically challenging and our host of friends both in military and in commercial, we want to make sure that we can address those needs so that is our secondary goal but equally important.
Operator: This time there are no further questions, so let us turn it over to Mr. Ken Alder for closing comments, please go ahead sir.
Ken Alder: I just like to summarize by saying we are in extremely well position to deal with the future. We are excited about the future. We thank you everybody for their interest in TTM today and we will look forward to meeting with you next quarter. Thank you very much.
Operator: Ladies and gentlemen this does conclude the TTM Technology’s Financial Results Conference Call for the Fourth Quarter Fiscal 2007.